Operator: Good morning, ladies and gentlemen, and welcome to the Blade Air Mobility First Quarter 2025 Earnings Release Conference Call. At this time, all participants are in a listen-only mode. Later we will conduct a question-and-answer session, and instructions will follow at that time. As a reminder, this call is being recorded. I would like to turn the call over to Matt Schneider, Vice President of Investor Relations and Strategic Finance. Matt, you may begin.
Matthew Schneider: Thank you for standing by and welcome to the Blade Air Mobility conference call and webcast for the quarter ended March 31, 2025. We appreciate everyone joining us today. Before we get started, I would like to remind you of the company's forward-looking statements and safe harbor language. Statements made in this conference call that are not historical facts, including statements about future time periods, may be deemed to constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These forward-looking statements are subject to risks and uncertainties, and actual future results may differ materially from those expressed or implied by the forward-looking statements. We refer you to our SEC filings, including our annual report on Form 10-K filed with the SEC for more detailed discussion of the risk factors that could cause these differences. Any forward-looking statements provided during this conference call are made only as of the date of this call. As stated in our SEC filings, Blade disclaims any intent or obligation to update or revise these forward-looking statements, except as required by law. During today's call, we will also discuss certain non-GAAP financial measures which we believe may be useful in evaluating our financial performance. A reconciliation of the most directly historical comparable consolidated GAAP financial measures to those historical non-GAAP financial measures is provided in our earnings press release and investor presentation. Our press release, investor presentation Form 10-Q and 10-K filings are available on the investor relations section of our website at ir.blade.com. These non-GAAP financial measures should not be considered in isolation or a substitute for financial results prepared in accordance with GAAP. Hosting today's call are Rob Wiesenthal, Founder and Chief Executive Officer of Blade; and Will Heyburn, Chief Financial Officer. I'll now turn the call over to Rob.
Robert Wiesenthal: Thank you, Matt, and good morning, everyone. We are pleased to report an excellent start to the year with revenue growth of 11% excluding Canada and a $2.3 million year-over-year improvement in adjusted EBITDA. Our strength in the Passenger segment this quarter was particularly notable with segment revenue growing 42% year-over-year, excluding Canada, which we exited in August 2024. And our very first segment adjusted EBITDA profitable first quarter since going public. Our strong Passenger segment results reflect several factors, including our durable competitive positioning along with the important actions we’ve taken recently to improve profitability, such as our exit from Canada and broad-based cost rationalization initiatives. I’m particularly encouraged by the results in Europe following our restructuring, which led to strong revenue growth and significantly improved profitability this quarter. Passenger segment adjusted EBITDA improved by $2.7 million in the current quarter versus the prior year and on a trailing 12-month basis rose to $6.3 million as of Q1 2025, up from $3.6 million in Q4 2024. We're also happy to deliver Medical results ahead of our guidance this quarter, while we successfully launched service with two new large hospitals on April 1st, as expected, contributing to an all-time record for trip volumes in April. Our Medical business remains well positioned to prosper in the current environment given the strength of our logistics platform, strong underlying transplant volume growth, limited economic sensitivity and insulation from tariffs. We continue to expect improving results throughout the rest of the year in both business lines. In Medical, we are onboarding additional new hospitals and expect continued growth with existing hospitals, particularly given the strong industry transplant volume numbers we've been seeing. In Passenger, while the economic outlook may be uncertain, we still expect ongoing year-over-year benefits from cost and restructuring actions as we will not anniversary our implementation of most items until the fourth quarter of this year. On the supply side, having now completed a rapid period of aircraft acquisitions, we are focused on improving the operational and financial performance of the fleet. Following a period of unusually heavy scheduled aircraft maintenance and associated downtime during the first half of 2025, we expect a significant improvement in the second half of the year through 2026, resulting in reduced capital expenditures and improved Medical segment adjusted EBITDA margins. Passenger had a very strong start to the year, as we previously covered, exceeding our internal projections. While we are not changing our guidance for the Passenger segment, we are very focused on a potential impact of economic uncertainty along with the impact of the recent helicopter tour incident. I would like to take a moment to address this event. Blade does not offer tourist flights in the United States and this incident highlights the importance of our safety team and related parameters, restrictions and audits they require of our dedicated operators. Beyond our regular audits, Blade requires our operators to maintain numerous standards that exceed the requirements of the FAA. For example, the minimum number of pilot flight hours for tours can be as little as 150 hours. To fly for Blade, our minimum pilot hours are 800 or 1,000 hours depending on the type of rotorcraft flown during those hours. We also have a minimum number of hours pilots must fly in the New York area airspace before flying for Blade. Our full-time five-member safety team works with our operators in both our Passenger and Medical businesses every day. Turning to the macro outlook, though we are mindful that several airlines have highlighted softening travel fundamentals, airlines have also reported continued growth in premium seat sales, which is particularly relevant for Blade’s higher end flyer base. Given the seasonal nature of the Passenger business, volumes are typically low in April and start to pick up in May, so we'll have much greater visibility into underlying demand over the coming weeks and months. Regarding the helicopter tourism incident, past experience leads us to believe that this will have a transitory impact on demand for our New York area services. We have seen a moderate impact on the incident in April, but as mentioned, this is on a seasonally low short distance revenue base and we are already seeing improvement. Lastly, in Passenger, it's important to note the actions we've taken to improve profitability across the Passenger segment. Our restructuring in Europe, our exit from Canada, and cost efficiency initiatives remain a key driver of Passenger segment adjusted EBITDA results in 2025, as we will not anniversary our implementation of most of these items until the fourth quarter of this year. Despite any short-term variability it is now more clear that our Passenger segment is very well positioned for the transition from helicopters to eVTOL over the midterm due to our scale, strong brand, technology stack, and proprietary infrastructure in the key vertical transportation markets we serve. We remain excited about the future for Blade Passenger and believe it serves a growing and economic resilient customer base. We continue to focus on the discipline allocation of our shareholders capital, evaluating additional investments in aircraft and vehicles in the Medical business along with acquisitions in Medical that can strengthen our competitive position or expand our logistics platform. With $120 million in cash and short-term investments as at the end of Q1, we believe we are well positioned to capitalize on such opportunities. With that, I'll turn it over to Will.
William Heyburn: Thank you, Rob. I'll now walk through the financial highlights from the quarter, starting with Passenger. Excluding Canada, which we exited in August, 2024, short distance revenue increased 28.1% year-over-year, driven primarily by growth in Europe. We view the European improvement as being a direct result of our restructuring, which not only reduced costs significantly, but also streamlined operations, leading to a better and more efficient experience for our customers, particularly to the hotel concierges and travel agents who make up a large portion of our European bookings. In Jet and Other revenue increased 60% year-over-year, driven by strength in both flight volume and revenue per flight. We saw another quarter of significant Passenger segment profitability improvement in Q1 2025, as we achieved the segment's first adjusted EBITDA profitable first quarter since going public. This was driven by an 840 basis point improvement in flight margin, along with a 16% reduction in Passenger segment adjusted SG&A. This profitability improvement in Passenger was broad-based, driven by improvements in short distance, the restructuring in Europe, growth in Jet and Other, our exit from Canada and SG&A cost efficiencies. Turning to our Medical business. Medical revenue came in roughly flat year-over-year at $35.9 million. As we discussed on our Q4 2024 earnings call in March, there are several factors impacting air revenue in the first half of 2025. We saw heightened variability in monthly Medical revenue growth trends during Q1 with low single digit year-over-year growth in January, followed by a year-over-year decline in February. Medical revenue growth resumed in March and we're happy to report that in April, we set an all-time monthly volume record, partially driven by the launch of two new customers on April 1st, as expected. We expect to build on this momentum with additional customer onboarding in the back half of the year. Our strategy, executed throughout 2024, is to increase the size of our dedicated fleet and position aircraft closer to our customers. We are more confident today that this is the right strategy that results in lower costs and shorter call out times for our customers and enables a meaningful pricing advantage versus our competition. A natural result of this strategy is a reduction in block hours per trip until we anniversary of the increased dedicated fleet size in the second half of 2025. And we saw this negative impact in Q1 2025. It's important to note that while there is a modest revenue impact from this strategy, there is an improvement in average profitability per trip along with the competitive benefits referenced earlier. Finally, ground and TOPS revenue continue their strong growth this quarter compared to the prior year period. Medical segment profitability declined on a year-over-year basis primarily due to elevated scheduled maintenance downtime on our own fleet during the quarter as expected and discussed on last quarter's call. Our own fleet generally provides us with the best unit economics on both the P&L and cash basis. When we experience above average downtime, there are two primary negative impacts in the period. One, though we continue to perform all trips for our customers as contracted, we substitute higher cost non-dedicated aircraft from our network. Two, we are unable to amortize the fixed cost of our own fleet, like pilots, on as many flight hours, resulting in a higher fully loaded average cost per flight hour on the owned fleet during periods of elevated maintenance downtime. As a result, Medical segment adjusted EBITDA margin fell 80 basis points year-over-year to 11.4%. The year-over-year increase in Medical segment adjusted SG&A is related to our own fleet, which did not exist in the prior year period. As previously communicated, we expect reduced schedule of maintenance in the second half of 2025 and 2026 to result in reduced capital expenditures and improved adjusted EBITDA margins. Moving to unallocated corporate expense and software development, we continue to focus on cost efficiencies across the business, and during the quarter, our expenses rose just modestly about 1.6% year-over-year. On the cash flow front, the difference between our Q1 adjusted EBITDA of negative $1.2 million and cash from operations of negative $0.2 million in the quarter was primarily driven by an increase in deferred revenue, partially offset by working capital builds. Capital expenditures inclusive of capitalized software development costs were $3.2 million in the quarter, driven primarily by capitalized aircraft maintenance of approximately $1.5 million and $0.7 million of aircraft acquisition payments. We currently have 10 aircraft in operation and continue to focus on optimizing the financial and operational performance of the fleet. Given the significant strategic and financial benefits of our owned aircraft, we expect to add a low single-digit number of aircraft to the fleet over the next year or two, but are not currently in the process of buying any aircraft. As previously discussed, we now use the withhold-to-cover method for taxes due on employee stock-based compensation. With this method, we pay taxes due on employee shares off the balance sheet, and then withhold the equivalent number of shares, reducing the number of shares to become outstanding. Given a large number of expiring employee options, we were able to deploy $4.3 million during the quarter, which resulted in withholding approximately $1.5 million shares at an average price of approximately $2.91. We ended the quarter with no debt and a $120 million of cash and short-term investments, providing flexibility for strategic investments in aircraft and acquisitions in Medical. Turning to the 2025 outlook, we are reiterating our revenue and adjusted EBITDA guidance for the year. Starting with Medical, we continue to expect double digit revenue growth for the year following a tough comp here in Q1. After moderating throughout 2024, heart, liver, and lung industry transplant volume growth has been strong year-to-date, rising 7% year-over-year. As we mentioned previously, 2025 new customer starts are weighted towards the second half of the year for us, and we've had a strong start this quarter with two new customers driving great results in April. After a flattish result in Q1 2025, we expect single-digit Medical revenue growth in Q2 2025, with strong growth in the second half of the year, driven by the ramp-up of new customers and an easing comparison base. We continue to expect Medical segment-adjusted EBITDA margins to be approximately 15% for the year, along with the risk that margins could come in slightly below our full-year target due to the timing of maintenance completed during the year. As we discussed last year, we expect maintenance downtime to remain elevated in Q2 2025 and moderate in the second half of the year. As such, Medical segment adjusted EBITDA margins are expected to improve versus Q1 2025, but remain below our full-year target in Q2 2025, with margins rising above our full-year target in the second half of the year. Rob addressed the heightened level of macro uncertainty in passenger earlier. Though it's too early to tell if this will have any discernible impact on our higher end consumer. We are confident in the flexibility of our asset light model to quickly respond to any variations in demand, while maintaining flight profit margins. Moving on, we continue to expect adjusted unallocated corporate expenses and software development to decline slightly year-over-year in 2025, and we continue to expect to generate positive free cash flow before aircraft acquisitions barring any large unforeseen nonrecurring items. With that, I'll turn it back over to the operator for Q&A.
Operator: Thank you. [Operator Instructions] Our first question comes from Jason Helfstein with Oppenheimer. Your line is open.
Jason Helfstein: Thanks. Good morning, everybody. So if I kind of one-on-one pack, I guess, right, kind of the themes for this year on Passenger, it's improved profitability. Obviously, it's unfortunate what happened in April in New York, but I think you've seen the patterns around that. And then on the Medical mobility, it's absorbing just maybe some of the, whether it was unforecasted maintenance, but kind of absorbing that and kind of -- then seeing that follow through in the back half. But I mean, if we take a step back, like thematically, any just like thoughts on what investors should be thinking about is we're kind of, we work our way through the year, exiting the year, more changes around strategic direction around New York Airport, any more partnership type of unlock. I guess just how should investors be thinking about Blade, really is almost like as they're thinking about 2026 and kind of what the next unlock is assuming we hopefully get through the next period largely unscathed from a macro standpoint. Thank you.
Robert Wiesenthal: Thanks, Jason. Good to hear your voice. Let me start off on the Passenger side, Will take the Medical side. I think this year is going to be -- moving forward, is definitely going to be driven by increased velocity and performance in Europe for sure. I think it was a long road as you know, took a little longer than we expected, but really feel like we're running all eight cylinders right now. And when I even take a look at things like Monaco Grand Prix, where I see good pre-sales, it's a little bit early. Bookings in the south of France look strong and then also in the US in terms of leisure markets such as the Hamptons, good on the pre-sales as well. And I think that there -- our view is that, there is going to be economic resilience to the economic strata that we cater to in all these leisure markets. So we feel good about that. And then on the partnership front, I think you're going to hopefully see some more airline partnerships, whether it be domestically or overseas, which helps to drive not only awareness, but allows people to do things like use their points and such and that's also credit card deals and I kind of put credit card deals and airlines in the same boat. Additionally we've come up with a whole bunch of different passes. We're learning that whether you call it membership or passes, people like them. And we think it leads to enhanced use. And then also a lot of added value services in terms of things we can latch on to different types of flights, making it easier to book cars, making it easier to move your luggage if you need to do that as well. And also, we're using a lot more data to manage price. So I think you're going to see a lot more dynamic pricing. I hope this is a year of dynamic pricing in a very strong way. It's done in an extremely intelligent way using, obviously using tools such as AI and others to really try to maximize utilization of our flights. Those are, I think, kind of the highlights and I'll let [indiscernible] Will take medical.
William Heyburn: Thanks, Jason. A couple of thoughts on the Medical side of things. First, to your comment on maintenance, it's time-based and we talked about it on the last quarter call that we expected to see elevated levels there. So in a way, we can be a little bit of a victim of our own success. The more we fly, the quicker that maintenance comes. And it's all coming overlapping, which we try to avoid as much as possible, but sometimes just the patterns of flying are such that you have a number of aircraft down all at once. So we talked about in the last quarter, this is about double the amount of maintenance downtime that you would expect if you just took the linear distribution of when it should be across the 10 aircraft that we own. And so we'll be through the woods on that once we get into the second half of next year. The other thing as it relates specifically to 2025 is the strategy that we started on last year to get more dedicated aircraft closer to our customers. If you compare this Q1 in 2025 to Q1 2024, we have 50% more dedicated aircraft in this period versus last period. And so we think we've delivered a lot better service to our customers. We've reduced the repositioning. We've shortened the call out times. But as we've talked about, you eliminate some repositioning that creates somewhat of a revenue headwind for us. It's absolutely strategically the right move. And we're actually making more profit dollars per trip this way, while saving our customers money but we lap that starting when we get into the second half of this year. And then when we kind of think into the longer term into this year going into next year and even the year after, we continue to see more competition in the perfusion space that's bringing down the costs for hospitals to go after more organs. We think that's been a driver of some of the strong growth you've seen in the industry transplant volumes. And it really points to the long-term viability and really security already of our strategy to be completely agnostic as to what clinical decisions our customers might make in terms of using this perfusion device or that perfusion device, or choosing to use NRP, Normothermic Regional Perfusion, to go and recover a DCD organ. So we want to be the best partner for our customer irrespective of what they use. And we're about to enter into a world where there's a lot more options for our customers on the medical side, which we think will both increase volumes, increase trip lengths, and put us in a stronger competitive position.
Robert Wiesenthal: Jason, just two things I was remiss in mentioning. This fall, we are the official helicopter company of the Ryder Cup, which as you may know, is probably one of the biggest golf events in the industry. It's going to be in Bethpage, Long Island. We're going to have actually eight helipads there. And it's something that's not only going to generate revenue, but also significant awareness for our products, especially as you think about our urban air mobility strategy. You also may know that we in cooperation with Oceans Casino in Atlantic City, opened the helipad there, and we renewed our partnership for other stuff there to get people to a lot of very neat live events there. So a lot more of those kind of strategic partnerships with events and hotels and such, I think, are also going to be a little bit of a driver going forward. And again, really good to get people on aircraft who've never been on before.
Jason Helfstein: Thanks. Appreciate the call.
Operator: Thank you. Our next question comes from Lauren Lee with Deutsche Bank. Your line is open.
Lauren Lee: Hey, thank you for taking my question and congrats on a strong quarter. So I guess, my first question is about the passenger segment. I think you mentioned strong results in Europe. So I was assuming like the restructure earlier like benefits more on profitability, but seems it helps the top line too. So I guess my question is like, what's the revenue contribution for Blade Europe in this quarter? And is this more of seasonality or is it sustainable growth after the rework?
William Heyburn: So I think we talked a little bit about this. Laura, thanks for the question and the script. Just that we really think the restructuring helped provide better service for those travel agents and concierges in Europe that generate a significant portion of the revenues there by connecting them much closer to the operational decision makers and just allowing them to confirm trips more quickly. While still maintaining our great technology and app and customer service, they focus more on the consumer as well. So we kind of through the restructuring created two channels and we're getting really, really strong positive feedback from those corporate accounts over in Europe. And the second part of your question on just the scale of Europe in this quarter, about $6 million of revenue in Q1 and seasonally, as you know, the European business is heavily weighted towards Q3 into a lesser degree Q2.
Lauren Lee: Okay, okay got you. Yes, my second question is about like the capital allocation. So given the $120 million in cash, so how would you prioritize the capital allocation among all those, organic growth initiatives and buybacks and maybe potential M&A? So any interesting points you're looking at now?
Robert Wiesenthal: A couple things on that. It's Rob speaking. As we've said in the past, our focus on M&A is on both tactical and strategic medical acquisitions, things -- services that we can provide our existing customers that we already have relationships with to kind of supercharge some of those acquisitions. And then also relationships with hospitals that we may not have that some of these other targets may have as well. Again, looking at single digit multiples and hopefully also deals that are kind of accretive day one. Those -- that's really the laser focus on our acquisition strategy, but obviously organic growth, our sales guys pounding the pavement, getting on planes and getting going half their hospital after hospital and I'm happy with the increased market share that they have. In terms of buybacks, we do have an authorization in place. At the same time, given our withhold to cover program, where we basically withhold shares in order to help employees pay their taxes by withholding those shares and using that cash to allow our employees to pay their taxes but also retire shares has the same impact as a buyback. So, you'll see that this past quarter as well.
Lauren Lee: Okay, got you. Appreciate the call.
Operator: Thank you. Our next question comes from Bill Peterson with JPMorgan. Your line is open.
Unidentified Analyst: Hi, good morning. This is [Mihima] (ph) on for Bill. I'm kind of curious how are bookings trending in May versus a year ago on the Passenger side, given all of the uncertainties you discussed? And then have you begun to see any type of down tick in the number of trips being taken to Newark from Blade Airport given some recent issues there as well? Thanks.
Robert Wiesenthal: I think, as Will said, it's kind of early days. I think that Newark is actually something we're watching carefully. We obviously hope it's transient. There are positive and negatives to that. On one hand, yes, you have less traffic to Newark and we reduce schedule there, but what it's also done is help utilization of JFK by pushing more people to the JFK product and also given that our flagship lounge and terminal where we have both arrivals departures is on the west side. The greatest value for a Blade airport product are people departing the west side going to JFK as opposed to the west side going to Newark. So I think you put all those in a blender, hopefully it's at least maintains where it's been overall for Blade Airport. But again, we'll see how it goes. Hopefully it's transient. And also hopefully that people are not flying less because they're concerned about just airports in general.
William Heyburn: And then on your bookings question, we don't get a lot of month in advance bookings for this business. It's an on demand product. 24 hours. Yes. So, they look a little better than last year in terms of summer bookings, but I really don't think that's a hugely meaningful statistic.
Unidentified Analyst: Okay. Appreciate that color. Maybe also on your strategy to reposition aircraft closer to customers even more this year, can you talk about what specifically allows you to do that relative to peers? Is it maybe the size of your fleet between the owned and also contracted aircraft or is it something else?
Robert Wiesenthal: That's exactly what it is, Mahima. We've talked about it, added 50% more dedicated aircraft this period versus the same period last year. So 10 additional dedicated aircraft between both our owned fleet and the contracted fleet. So those are four walled aircraft that we can position wherever we need for the customer. And also when you think about having 10 fewer in the prior year period, they were also stretched and sometimes maybe positioned in between two customers to be able to serve multiple customers. So even on the dedicated aircraft we had, they themselves were repositioning more. It works, we can deliver the service either way, but we think it's a much better value proposition for our customer if we're able to put the aircraft close to where they're going to be departing for the vast majority of their trips, which is their home base.
Unidentified Analyst: Great. Thank you so much for taking our questions. Thanks, Mahima.
Operator: Thank you. Our next question comes from Jon R Hickman with Ladenburg Thalmann. Your line is open.
Jon R Hickman: Thanks for taking my question. I was wondering if you could comment on the -- I mean, you made a brief comment about the electric vehicles, the arrival of them. Could you elaborate more on what you're seeing and -- like timing? And then are you planning on any route extensions on the passenger side as these vehicles start arriving?
Robert Wiesenthal: Yes, thanks for your question. I think that, obviously the deployment of eVTOL has been a moving target. But that being said, I do expect in kind of late 2025, early 2026, we have great relationships with all the manufacturers. We're particularly impressed with the progress that Joby is making, both here and abroad. And I believe that these are terrific aircraft. Think in the beginning, while the distance could be limited and passengers probably limited to around four. I think leading to your question about new routes, as we've always said, eVTOL, such as Joby and others, because they are quiet, unlock the ability for communities to put new landing zones in because it's quiet and emission free. As you know that most of the heliports and airports that we work in are kind of off to the water and kind of, I don't say, nearly desolate non-residential areas. This will allow us to have more landing zones that are more convenient to more people in any pair of landing zones is its own business. So we're quite excited about the kind of growth that we expect to happen once eVTOL is deployed here, especially in the States, and people see that they're quite emission free, and we get all the stakeholders such as local legislators, state legislators, the FAA, feeling comfortable with putting these new landing zones in. So I think it's definitely something we're looking forward to and was one of the fundamental -- one of the fundamental reasons we want public in the first place is to facilitate this transition from rotorcraft to eVTOL.
Jon R Hickman: Okay. And one last question. Could you update us on what's going on in the New Jersey site?
Robert Wiesenthal: Anything particularly about New Jersey?
Jon R Hickman: Are you operating now?
Robert Wiesenthal: Are you talking about the new port -- heliport in New Jersey, Jon? Are you talking about new port?
Jon R Hickman: Yeah.
Robert Wiesenthal: I think our strategy has been very much to collect the ability to manage or relight any heliport that is available in our service area. And so new port was interesting. It is the closest new heliport to Manhattan that they've been able to relit many, many years. It is predominantly used for charter right now by some companies and executives that live near there, but it's kind of, I’ll call it, it's something that doesn't cost us money to operate and very little that is and I think that we want to keep doing that like Oceans -- building the Oceans Casino heliport or new port. There's some other areas and actually some outer boroughs we've been talking to, borough presidents. So I think you'll see more of these in the margin. But again, as I said in my previous -- answering my previous question, the big unlock is going to come in eVTOL’s here.
Jon R Hickman: Okay. Thank you.
Operator: Thank you. [Operator Instructions] Our next question comes from Ben Klieve with Lake Street Capital Markets. Your line is open.
Ben Klieve: Thanks for taking my questions and congratulations on a good start to the year here. First, a couple of questions piggybacking on the repositioning conversation. Given the significance that it seems to be having here, I'm wondering if you can help us quantify [Technical Difficulty] Also, once your owned fleet is fully operational and out of maintenance and utilized to the best of its abilities. Is that repositioning revenue going to be effectively de minimis or is it still going to be kind of a sizable portion of your revenue base?
William Heyburn: Hey, Ben, You cut out there for a second, but I think you were asking kind of to quantify the impact of repositioning. Is that right?
Ben Klieve: Yes, and sorry about that. I hope this is better. Quantifying the year-over-year repositioning dynamic and then also once your owned fleet is out of maintenance and that kind of the level of utilization that you intend for it to have, is repositioning revenue going to be de minimis or is it still going to be kind of a healthy percentage of your revenue base in the Medical segment?
William Heyburn: Yes, I mean, I think it's been [Technical Difficulty] part of life in our business. So there's always going to be an element of it. What we're trying to do is, strategically move the aircraft so that the most likely trip profile, which for most of our customers is a round trip, sending their own staff to go pick up an organ and then return with it to the hospital, the transplant center that's our customer, but there's still going to be a lot of situations where you're using a third party recovery group and so you're doing a one way and hopefully we have an airplane in that location. Given our very significant scale, much of the time we do, either to service a different customer or through our third party network. But oftentimes, if you're in a remote location, you're going to have to reposition in for that one way. So it's always going to be a part of it. In terms of the current headwinds that we're seeing year-over-year, it's probably like a low to mid-single digit headwind, but there are a number of other factors in terms of just the flying patterns of our customers that are ever changing. It can be different month to month. So hard to really put a firm number in terms of exactly what it is, but what we do know is that, we're going to lack the period of time when we made most of these strategic moves once we get to the second half of this year. Does that help?
Ben Klieve: Yes, absolutely. Thanks for that Will. And my other question for you guys, your -- the conversation around new -- excuse me, more owned aircraft coming into your fleet this year seems to be pretty much unchanged from your comments in the prior couple of quarters. But I'm just wondering if you can comment on the degree to which the kind of general tenor of the economy today, particularly around tariffs, is impacting your thought process on bringing in more owned aircraft here later this year?
William Heyburn: No impact to our thought process here. One of the things we love about this business is, non-correlated both to the macro and to things like this. But yes, you're right, our tenor is kind of unchanged in terms -- our tone is unchanged in terms of how we're thinking about aircraft acquisitions. We do think it's likely that you'll see a single digit number over the next 12 to 18 months. But like we said, nothing in process right now, though we'll plan to be optimistic. And if we see opportunities like we saw too, that we started on April 1st, where the acquisition of an aircraft can bring us a large new customer with a very quick payback, we'll be very fast to jump on that.
Ben Klieve: Very good. That's helpful. Thanks for taking my questions, I'll get back in queue.
William Heyburn: Thanks, Ben.
Operator: Thank you. I'm showing no further questions at this time. This concludes the question-and-answer session and you may now disconnect. Everyone, have a great day.
Robert Wiesenthal: Thank you.
Operator: You're welcome.